Operator: Welcome to the Northeast Bank First Quarter Fiscal Year 2026 Earnings Call. My name is James, and I will be your operator for today's call. This call is being recorded. With us today from the bank is Rick Wayne, President and Chief Executive Officer; Richard Cohen, Chief Financial Officer; Santino Delmolino, Corporate Controller; and Pat Dignan, Chief Operating Officer and Chief Credit Officer. Prior to the call, an investor presentation was uploaded to the bank's website, which we will reference in this morning's call. The presentation can be accessed at the Investor Relations section of northeastbank.com under Events and Presentations. You may find it helpful to download this investor presentation and follow along during the call. Also, this call will be available for rebroadcast on the website for future use. [Operator Instructions] As a reminder, the conference is being recorded. Please note that this presentation contains forward-looking statements about Northeast Bank. Forward-looking statements are based upon the current expectations of Northeast Bank's management and are subject to risks and uncertainties. Actual results may differ materially from those discussed in the forward-looking statements. Northeast Bank does not undertake any obligation to update any forward-looking statements. I will now turn the call over to Rick Wayne. Mr. Wayne, you may begin.
Richard Wayne: Thank you, and good morning, everyone. As I go through this presentation, as we go through it, I want to just outline what the agenda will be for this morning. I'm going to first go over some highlights for the quarter and dig a little bit deeper in some of the material that we had put out yesterday. And after that, Pat will discuss the lending activity, and Santino will go over the financial results for the quarter. Finally, I want to make a few comments on Richard Cohen, who is moving on after tomorrow after almost 2 great years at the bank. So first, as to the highlights. We consider the quarter very strong. We had net income of $22.5 million, a NIM of 4.59%, return on equity of 17.64%, a return on assets of 2.13% and diluted earnings per share of $2.67. And finally, within a whisker, if that's a technical term, I don't think it is, actually, of $60 of tangible book value at $59.98. I want to comment first on loan activity. Purchases were strong. We bought loans with UPB of $152.7 million at an invested amount of $144.6 million. Now as you know, in our past, we have had 2 very large quarters where we purchased large transactions, the first in the second quarter of our fiscal year '23 and the second one in the first quarter of fiscal year '25. If you exclude those very large purchases, this would have been our second largest purchase quarter going back 3 years and probably longer. I just looked at the material for 3 years for this. One of the things that we are frequently asked in investor calls and otherwise is what does the purchase pipeline look like? And with all of the caveats in the forward-looking statements, specifically, we may buy a lot or we may not buy any. It's transactional. I would say that the purchase pipeline is as large now as we have seen in quite some time. A lot of it triggered by M&A activity and some balance sheet repositioning by other holders of commercial real estate loans. We have both the capital and the human resources to do the appropriate diligence on the amount that's out there, and we will look at every -- virtually every opportunity that is within our parameters. On originations, we did $134 million with a little rounding this quarter. I would point out that there is some seasonality to the origination business. We went back and looked 4 years ago, and we only had one first quarter in our fiscal year, which was in Q1 of '23 that had a higher amount of originations, $182 million. That meant, obviously, that for -- out of the last 4 years, 3 of the quarters, we did not do as much origination volume as we have done this quarter. And our origination pipeline is also quite robust. I now want to comment briefly on the SBA activity. This quarter, we funded $42 million, and we sold $53 million of loans that, of course, include some that were originated prior to this quarter. As we discussed in the July call, there were changes made to the SBA rules, which suggested and we indicated that we would have lower volumes in some number of quarters to come. Because we had less closings, we had less sales and because we had less sales, we had less gains. The gain in the linked quarter was $8.2 million compared to $4.1 million for the current quarter. And that difference of $4.1 million amounted to $0.34 diluted EPS. I think it's very helpful to understand that. We expect a few things to happen. Of course, one, at some point, the government will reopen. Pat may touch on the impact of that for us. And we now have -- absent the government closing, we have been seeing a ramping up of the volume that was temporarily diminished for the reasons that I described. Finally, a few comments on asset quality, which Santino will expand on relative to our balance sheet size. Overall, our loan book was pretty flat. Our purchased loan book increased by $31 million and our originated loan book decreased by $39 million. Because for purchases, the allowance comes out of the purchase price typically rather than booking a provision and because our originated loan book decreased, as I mentioned before, the amount of the allowance also decreased. And finally, I want to make a point on the timing of transactions. As I said, our loan book was mostly flat but our average loan balances were down $92 million compared to the linked quarter because much of the activity around purchasing and some originations occurred late in September. So that had an impact on interest income in the quarter. But for the reasons I described, it bodes well for the future because our average loan balances were higher. And with that, I will now ask Pat to talk about our loan activity. Pat?
Patrick Dignan: Thanks, Rick. We had a solid loan activity this quarter, especially for the summer months, as Rick pointed out, the real estate and financing markets are very active. And while this is fueling more loan payoffs than we'd like, it's also creating a lot of opportunity. First, another note on the SBA business. The $42 million closed is comprised of 286 loans at an average rate of 11.7%. Although we saw increasing volume in each of the 3 months of the quarter and felt like we were making real progress toward our volume targets, the government shutdown essentially halted any new originations since October 1. We continue processing loans in the hopes of funding soon after the government is reopening. So we won't be wasting any time with that. But obviously, it's out of our control. Meanwhile, we're very optimistic about our new insured small business loan product with annuity, which is off to a great start since launching on October 1 with about $10 million closed since then. In our purchase business, we bought 522 loans in 7 transactions with $153 million of principal balance and a purchase price of $145 million or just under $0.95. These were mostly smaller balance loans with no real concentrations of note. Five of the 7 transactions were from loan funds, one from a small bank and one from a national insurance company. As Rick pointed out, over the last few weeks, we've seen a significant uptick in purchase opportunities, mostly from M&A activity, which is likely to continue for some time. This is a lumpy business and no guarantees will win at all or any of it, but the sheer volume of new opportunity is very encouraging for the next several quarters. In our origination business, we closed $134 million, which included 22 loans with an average balance of $6 million, LTVs just over 50% and an average interest rate of just under 8%. While lender finance product continues to dominate the origination business, direct loan opportunities have picked up significantly. The belief from borrowers that interest rates will come down over the next year is fueling new transactions and at the same time, creating an aversion to traditional debt, which typically includes significant prepayment protection. Our pipeline is as full as it's ever been, and we expect that we can remain disciplined in credit and still show strong growth going forward. Back to you, Rick.
Richard Wayne: Santino?
Santino Delmolino: Thanks, Rick. As Rick mentioned, this was another good quarter for the bank. We had earnings of $22.5 million or $2.67 per diluted share. ROA was 2.1% and ROE 17.6%. Total assets ended the quarter at $4.17 billion, which is down slightly from $4.28 billion at June 30. Loans were flat as purchases of $145 million and originations of $134 million were offset largely by paydowns and payoffs. Much of these purchases and originations occurred at the tail end of the quarter, so you'll see our average balances are down quarter-over-quarter, partially -- which is partially impacting our lower NII for the quarter. The excess cash we carried on the balance sheet at June 30 was put to use during the quarter to pay down our brokered CDs. So you'll see some shrinkage in the deposit portfolio as well. Capital remains strong with Tier 1 leverage at 12.21% and tangible book value came in just under $60 a share. Switching focus to the P&L. NIM was strong this quarter, coming in at 4.6%, resulting in pre-provision net interest income of $48.2 million, down from NIM of 5.1% in the prior quarter and pre-provision net interest income of $59.4 million. Decrease here is largely a result of heightened transactional income that we saw in Q4 fiscal year '25. Additionally impacting that is the higher average cash balances we carried during the quarter, which while accretive to net interest income did compress NIM a little bit. Provision for loan losses was a credit this quarter of $435,000, as Rick mentioned, which is due to a few things: one being less loans put on the balance sheet that required a provision as well as a slight decrease in the allowance coverage ratio. This is largely a factor of our continued strong asset quality, particularly in the originated loan business. From an SBA front, we had gains on sales of $4.2 million on sales of $58 million compared to $8.2 million in gains on sales of $108 million last quarter. As Rick and Pat previously mentioned, this is largely due to rule changes at the SBA back in May, which we previously disclosed the projected impact on this -- on earnings. On the expense side, we continue to be disciplined while strategically investing in our people and in technology that set up the bank for long-term success. Rick, back to you.
Richard Wayne: Thank you, Santino. And now we would welcome any questions that you might have.
Operator: [Operator Instructions] Our first question comes from Mark Fitzgibbon from Piper Sandler.
Mark Fitzgibbon: Rick, I wondered if you could share with us. I noticed in the press release, you said there was a change in the cost structure arrangement with annuity, I assume over the SBA stuff. Could you share with us how that structure changed?
Santino Delmolino: Yes. So we put out an 8-K on this back in last October. So beginning October 1 of last year, the cost structure changed where instead of a split in the gain on sale with annuity, they're charging us a flat fee on a per loan submitted basis. So that structure has been consistent for the past 4 quarters now. It's really just in comparing to the quarter end September 30, 2024, it was different.
Mark Fitzgibbon: And then just how do you think we should be thinking about gain on SBA loans for the fourth quarter? I mean, assuming the government opens up maybe halfway through the quarter, can you kind of get back on track and get to a volume level that looks something akin to what you had in the third quarter?
Richard Wayne: A little bit hard to say that, Mark, because there's a bunch of variables. I could say that starting in that we were seeing, and Pat mentioned this, we were seeing a ramp-up in SBA activity each month in the past quarter, which is what we expected to happen as both from a technology perspective and retraining those at annuity that are doing the first cut of underwriting and then our team as well. And I think if absent the government shutting down any of those things that happened, we probably would have been reasonably comfortable saying that by the end of this calendar year, we would have been up to where we were. But the reason there's less certainty about saying it now is what will the ramp up -- one, how long will the government be shut down? Because now it's essentially other than doing as much as we can do, there are critical things that we cannot do while the government shut down. We can't get an SBA number, and we can't get tax transcripts and we just can't get the loan to close. And how long that will -- that ramp-up will take, it's hard to say. I would say this reasonably comfortably that once the government is reopened over some number of months, let's say, 6 months. This is really an estimate because I don't know this for sure. We would expect we would get back. There's no reason to believe there won't continually -- continue to be large demand for that product. But there are a bunch of variables that would impact that.
Mark Fitzgibbon: Okay. Fair enough. And then it looked like there was a decent linked quarter increase in professional fees. Anything unique in there?
Santino Delmolino: A couple of things impacting that. One is just some temporary employees for folks that we've had out on leave during the period. So that aspect of it shouldn't continue on a go-forward basis. We've also seen -- we had some heightened legal fees in relation to the new growth term loan product, the insured loan product as well as just general increases in professional fees period-over-period.
Richard Wayne: I want to just use that as a jumping off point, if I can, Mark, and others on the call because I want to comment about Richard before -- I don't want anyone to leave the Q&A before I've had a chance to say this. And the triggering thought to that was what Santino just said because we had hired a highly experienced auditor to come in and help us as we got through getting our financials. That's why that was more expensive. But as everyone knows, a while ago, we announced that Richard would be leaving the bank at the end of this month. This will be the last time you'll hear him in this room, I suspect he may, because he's still a stockholder, he may call up and be a really aggressive questioner, but we'll have to see about that. But I want to make a few points clear on this. One, Richard left on his own. I tried to talk him out of it almost every day, but unsuccessfully. Richard came to us. He moved his family boldly from South Africa. He was formerly a partner at KPMG. He came here without a job and not knowing much other than visiting from time to time the states, not knowing exactly what he would do. We were lucky that we were able -- first, we hired him as a consultant and then in this role, he's really done an extraordinary job for us. He grew a lot in the job. And this sounds like cliche because this is what people always say when someone leaves. In this case, it happens to be very true. He's really liked by everybody, he's respected by everybody. He added a lot of value to us, and he will be missed. I just want to add one other thing because 2 things can be true as I suggested to the Board yesterday, Richard can be all of those things, but we're lucky we have a deep enough bench, and Santino, who was our controller, could step right up. And Rebecca Jones now Rand, married name, sorry, Rebecca, who is our Director of Accounting, will be here, and we've hired a new controller. So we still continue to have a very, very -- and lots of other people in the accounting and finance roles. We have a very, very deep bench. But I just wanted to be clear about Richard that he's going out to start some business he's figuring out. And I suspect at some point, I would bet that he'll be wildly successful. I am not going to say bet, I'm not going to invest in it, but I believe he will be. Richard, do you want to say anything before we.
Richard Cohen: I really do. Thank you, Rick. I mean it's been a very difficult decision to leave the bank. I'm immensely privileged to have been part of this fantastic organization. I'm equally immensely grateful for the relationships that I have with all of you, the investors, with the Board, with the leadership of the bank, with my team and with the incredible staff here. I so thoroughly enjoyed the culture. It's an amazing place to work. The bank is solution-oriented. It's focused. It's a warm place to work, and it's a very open environment. Maybe the last thing I'd like to say is a very special thanks to Rick and to Pat and to the Board for their faith in me for the close relationship that I have with them personally, which will continue into the future. And my very best wishes to Tino and to my fantastic team in whom I have immense confidence. I leave you in very, very capable hands, and I intend to stay very close and in contact with the bank over here.
Richard Wayne: Thank you for that, Richard. We're clapping, you can't hear us. Thank you, Richard. Mark, I apologize for jumping off on that, but I wanted to make sure those things were said and heard.
Mark Fitzgibbon: Richard, congratulations and best of luck in your new role. And Tino, to give you an opportunity to swing to the fences here, can you tell us what the margin is going to look like next quarter?
Santino Delmolino: Almost, almost. No, we generally don't give guidance on margin. The real challenge, as you know, is with the transactional income, it can be really lumpy just depending on which loans pay off during the period.
Richard Wayne: Here's a stat we don't mention often, but we have $207 million of discount on our purchased loan book. And what happened last -- for the linked quarter, we had more primarily, because of one big transaction. But -- and it's hard for us to know when there are going to be payoffs. And some loans have very significant discount. Most of all what I described is interest discount from loans that we bought at a discount because of interest rates, but that's always out there. So it's hard for us to say -- to predict what our margin will be because that's really the piece of it that is unpredictable and can be significant.
Operator: Our next question comes from Damon DelMonte from KBW.
Damon Del Monte: Richard, good luck with your new endeavors. Just a quick question on the -- NDFI lending has become kind of a hot topic in the industry in the last couple of months, and you guys do a lot of similar financing in that regard. Just kind of curious how you're feeling about the quality of the people you're with and the underlying assets and if you're seeing any signs of stress or there's any concern from your seats?
Patrick Dignan: I assume you're talking about that...
Damon Del Monte: Well, yes, but like the lender financing you do in general. I mean the items in the news have been tied to subprime auto lending. But I think just overall, just kind of how do you feel about the health of your lender financing portfolio?
Patrick Dignan: We've heard from a few investors concerned about that recent fraud issues that were in the news, specifically the case where a title policy was doctored to improve the lender's perception of a lien position, resulting in significant credit deterioration when the truth was revealed. And our approach is and has always been a trust but verify. In the lender finance business, obviously, our borrower is the lender, and they are collecting documents from their borrower. And so I think oftentimes, we're getting that documentation secondhand. And so we have developed over time -- there's no way to 100% protect yourself from fraud, but we've -- we believe we're doing all we can to prevent this type of issue from happening. We do complete third-party background checks on all borrowers, funds and principles. We do independent verification of lien position and title insurance. We hold all the original loan documents in custody. We do daily monitoring of all court and recording activity relating to our borrower, the underlying borrower and the underlying collateral. In fact, it's fairly frequent that we will know that there's been a lien or some judgment on the underlying collateral and these usually minor things before our borrower does because we monitor it so closely. And we have very robust monthly reporting from our borrowers that show all activity, loan payments and communications with the borrower. So I think the short answer is this is a business that you just got to stay very, very closely on top of, and I think we do.
Richard Wayne: In addition to what Pat just said, apart from potential fraud risk, it's not really the same business we're in. I know it's loan on loan and some people may consider that to be indirect financing and maybe that's true in some sense. But in another sense, it's totally different. We underwrite every single loan. So virtually all of our transactions are structured into bankruptcy, remote, special purpose entities with carve-out guarantees generally for any fraud or something that's specified in the documents, but it's a guidance line underscored. Meaning somebody comes in and they have a line with us and they want to take an advance under that line, we have to approve that advance, and we underwrite that loan right next to him. And so it's very different, totally different than some kind of a warehouse line where a borrower can borrow based on a borrowing base certificate without the lender focusing on the actual credit like we do, is totally different what we do. So to answer in a word, and we're very comfortable with our asset quality. And especially, as you know, from what we include in the material, the low LTVs throughout our whole book.
Damon Del Monte: Right. Okay. That's great color. That's kind of what I was looking to hear. And then I guess just on the loan growth, obviously, pipelines for both purchased and originated sound like they're pretty healthy and you have some strong optimism to close out this calendar year and going into next year. Just wondering if you have any visibility on the payoffs thus far this quarter to kind of help give us some perspective as to what the net growth could be for loans outstanding for the quarter?
Richard Wayne: I'll just make a general comment. Let me ask Tino to fill in if he has the information, he's saying no. This quarter, we had, I would say, a larger amount of payoffs than we typically have. And kind of something that is surprising is usually when you have large payoffs, in the purchase space, you tend to have more transactional income. But in this quarter, we had larger payoffs and we didn't have as much transactional income as I would have estimated at the beginning of the quarter. We purchased $145 million. We can just think through this live and Tino or Rebecca will correct me when I go wrong here. We purchased -- invested $145 million in our loan portfolio on purchase did what -- what was the net change in it, Tino or Rebecca?
Santino Delmolino: Net change. Purchase is up like 20 -- I don't have the number right in front of me, but on Slide 3...
Richard Wayne: So $24 million. So that would say we had $122 million of paydowns and amortization. That is high for that. And I think that in an interest rate environment that is declining, we would expect payoffs to increase. When somebody didn't have a better offer on the table, they wouldn't refinance just for the support of it. But historically, we've seen in lower interest rate environments, we have seen more payoffs. And so I would kind of -- I'm not saying it will be more than the $120 million we had this quarter. This quarter was particularly high, but we had some loans that we were -- sometimes when you have paydowns on the purchase in particular, it's a good thing because you have loans that we think are teetering. Teetering may be too strong, but loans we would be happier if they were out of our portfolio. And we made an effort, and it was either last call or the one before, we took a look and we provided detail on where we thought there was risk in the New York multifamily portfolio based on rent stabilization and the possibility of an administration change going forward. And we've made a concerted effort to reduce our exposure in the area of rent-stabilized or rent-controlled portfolio for that reason. So I think that was kind of a big chunk of why the purchase -- the payoff around purchase book was a result of that. And just on that topic, as it relates to originated loan, one thing we're seeing is we're seeing borrowers now negotiate much more strongly for getting rid of floors or having a floor that is -- typically what we like to have is the floor set at the rate when we originate a loan, but for borrowers, that's not market anymore. So we're seeing some lowering of the floor also. That sounds very pessimistic in terms of loan growth, but that's not my intention because we would expect both our originated loan book based on what we know that's in the pipeline. And with the caveat I said about purchase loans earlier, you win or you don't win, but there's an awful lot out there. We would expect -- I got to give another caveat, but I won't. You get the point that we would expect a fair amount of volume and opportunity in both of those spaces.
Damon Del Monte: Got it. Okay. That's good color. I guess just lastly on the tax rate that came in lower this quarter. Is that just a function of taxable income? Or is there something -- I know there was like some state law changes. Does that like carry through for the next year?
Santino Delmolino: Yes. A few things there that are impacting our tax rate this quarter. There were 2 state law changes that had pretty significant impact. One, Massachusetts, we're now paying very little taxes in the state of Mass because of their apportionment law changes. California also changed their apportionment laws, which has caused -- which offset the decrease in Massachusetts a little bit. We're paying more in California now. And the third piece is in Q1 of the fiscal year is when we have all of our stock vests and grants. So to the extent that tax -- the fair value of the vest exceeds what we booked for book expense on that restricted stock, we get a tax benefit for that. So with where the stock price was at the date of vesting this quarter, we saw a pretty good tax pickup on that front as well. That won't be recurring through the rest of the year. So on a go forward, we're expecting the effective tax rate for the rest of the year to be somewhere in the realm of 31% to 32%.
Operator: [Operator Instructions] Now I will turn the call over to Rick Wayne for closing remarks.
Richard Wayne: Thank you for those of you on the call -- I'm sorry, no. Thank you for those who are on the call for listening. Thank you, Damon and Mark, for very thoughtful questions. And again, thank you, Richard, for your work, your friendship, your professionalism, so much appreciated. And we will talk to you again at the end of January. Thank you all. With that note, we will say goodbye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.